Operator: Ladies and gentlemen, thank you for standing by, and welcome to the 10x Genomics First Quarter 2021 Earnings Conference Call. At this time, all participants' lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today Mr. Eric Jaschke, Director of Investor Relations and Strategic Finance. Thank you. Please go ahead, sir.
Eric Jaschke: Thank you. Earlier today 10x Genomics released financial results for the first quarter ended March 31, 2021. If you have not received this news release, or if you would like to be added to the company's distribution list, please send an email to investors@10xgenomics.com. An archived webcast of this call will be available on the Investors tab of the company's Web site 10xgenomics.com for at least 45 days following this call.
Serge Saxonov: Thanks, Eric. Good afternoon and thank you for joining us. On today's call, I will start with a brief review of our performance and execution during the first quarter. Next, I will discuss our views on current market dynamics, our vision for the Century of Biology and our investment across the business to achieve this vision. I will then turn the call over to Justin for a more detailed look at our financials and outlook for the year. We got a strong start to 2021, with first quarter revenues growing 47% year-over-year, to $106 million, as we continue to drive adoption of our Chromium and Visium platforms. While we saw a good result this quarter, there are many indications that our customers are not yet back to normal productivity. This is due in large part to COVID-related protocols which have a disproportionate impact on decentralized   experiments. That said, our conviction in the vast opportunity we have remains as strong as ever. The frontiers of biology continue to expand, with 10x leading the way. Our rapid pace of innovation has continued as we have launched breakthrough products for both our Chromium and Visium platforms. At our inaugural Xperience event we were inspired by a global customer community and their intense engagement in our technology applications and product roadmaps. It is precisely this engagement that defines the urgency of our mission and commitment to our customers.
Justin McAnear: Thank you, Serge. Total revenue for the three months ended March 31, 2021 was $105.8 million, compared to $71.9 million for the prior year period, representing a 47% increase year-over-year. Consumables revenue was $93.1 million, which increased 52% over the prior year period. Instrument revenue was $11.1 million, which increased 22% over the prior year period. Service revenue was $1.6 million, which increased 21% over the prior year period. The increase in consumables revenue this quarter was primarily driven by the growth in the instrument installed base. The increase in instrument revenue was driven by increased instrument placements during the quarter. Service revenue increased due to a larger number of instruments coming off of their initial one-year warranty and on the paid service contracts. North America revenue for the first quarter was $51.8 million, which increased 30% over the prior year period. EMEA revenue for the first quarter was $19.2 million, which increased 46% over the prior year period. APAC revenue for the first quarter was $34.8 million, which increased 83% over the prior year period. Now turning to the rest of the income statement, gross profit for the first quarter was $88.8 million, compared to a gross profit of $56.8 million for the prior year period. Gross margin for the first quarter was 84%, compared to 79% for the prior year period. The gross margin increase was driven primarily by lower accrued royalties related to ongoing litigation.
Serge Saxonov: Thanks, Justin. 2021 is off to the strong start. I want to think our employees for their continued dedication and excellent execution so far this year. You are the reason for our success and are the foundation for our successes in the future. I would also like to thank our customers for their incredible response to our inaugural Xperience event. Their engagement surpassed even our highest expectations, and reaffirms our vision for the future and the vast opportunities ahead. With that, we will now open it up for questions. Operator?
Operator: Thank you.  Your first question will coming from the line of Doug Schenkel with Cowen. Your line is open.
Doug Schenkel: Good afternoon and thank you for taking my questions. My first one is just building off of one of the last things that Justin talked about, his remarks on lab activity remaining at about 90% of norm. I'm just wondering if there's instances that you could detail where certain parts of the world are maybe more open than others. And as we've moved into the second quarter, what parts of the world or what types of labs maybe have opened up more than others? And thinking about other parts of the world where there are -- there's a little bit of a resurgence, if you are seeing a change in activity? So, that's the first questions, trying to dig a little bit deeper on that 90%. And then the second topic is on Visium. It's great to hear that Visium FFPE, and I think HD are on track for first-half commercial launches. FFPE, we're pretty clear, HD I just want to make sure. And you indicated that most of the early FFPE interest is from new to 10x translational customers. On that, I'm wondering what you're doing commercially to support those customers that you haven't necessarily gone after as aggressively in the past. And I'm wondering if you're hearing anything in terms of large retrospective studies. I'm just wondering if you have any visibility from partners or customers that the Visium technology is increasingly going to be used in this context with a quick path to peer-reviewed publications. Thank you.
Justin McAnear: Well, Doug, that's a lot. I'll start with the -- sort of the regional highlights. Yes, it's pretty dynamic and it's changing kind of all the time, to say the least. Certainly in Europe, we saw the U.K. bounce -- really bounce back nicely. They had some equal or some additional headwinds with Brexit and some new import regulations and processes. But that was -- the demand was nice and strong out of there, and we see approaching some level of normalcy. Maybe similar in Scandinavia, but France, specifically, is where we've seen some real slowdowns. And even, more specifically, just recently. So, that's been a little more of a challenge. If we were to go over to Asia-Pac, obviously China, Korea, and Japan are really, essentially, back to what is the new normal. A little bit more issues in Southern Europe, obviously very topical right now in India, but we don't typically do a tremendous amount of business in India, so not as big as issue. And in U.S., surprisingly, we found -- well, actually let's start with North America. Canada was very slow specifically, and acutely based on the government did not release their typical budget in the first quarter. And in fact they released it towards the end of the quarter, but that was hard to get some of the orders booked. And then as far as the U.S., again, we started the year with a lot of slowness in Southern California and more on the West Coast, but that's really changed in the last few weeks. So, there's a lot of things that are working and improving, and there's some sort of intermittent headwinds. I think we're moving quickly to an improving situation in the back-half of the year. But there's been some level of headwinds in the first-half.
Serge Saxonov: Yes, Doug, and so this is Serge, and on the Visium question. So just for a point of clarification; Visium HD is coming in the first-half of next year. That's what we indicated at the Xperience and early in the year. Visium FFPE is on track for this quarter, so just as you suggested. And yes, we're excited about the product. Most of the customers are new, which is based on the preorders. But I would want to reemphasize that it's very early. We've just started taking preorders. And it'll be some amount of time before there's sort of a transition to large retrospective studies. First, customers are going to be testing out the product, and then they'll start kind of collecting the samples for -- to move forward. As far as the -- I think that's -- 
Doug Schenkel: I think it was just the -- yes, the last thing was just the retrospect, it's that I was just wondering about kind of the support of translational customers, and any insight as to whether retrospective studies are going to get going quickly here.
Serge Saxonov: Yes, I would be careful in terms of assuming how quickly that can happen, because, again, customers need to first buy the product and get onboarded with it and test it, which obviously we feel pretty optimistic about and have great performance that we've seen so far internally. And as far as our commercial execution, yes, we've certainly been building up our team over the course of the past year with this in mind, first with the original Visium, and now Visium FFPE. We're building out overlays within our commercial function. Our science and technology advisors, which are specialists within the sales force, and also, on our support organization we're actually been investing pretty intentionally aggressively to -- into people with expertise to help our customers with the workflow in Visium.
Doug Schenkel: Okay.
Justin McAnear: Yes, Doug, and may be just to add, you also add, is there anything special for FFPE. And it's kind of interesting because in FFPE these -- that more traditional customers that are used to tissue is really not going to be the issue, which has been more of the challenge as we've been onboarding our traditional customers which haven't worked with tissue. But for FFEP, we're gearing up to help on the data side of it, because a lot of these customers have not worked with high content data that you get off a sequencing application, in this case they are. So, we have a fairly extensive, and we've increased the ability to provide the sort of computational support on the back-half and experiment.
Doug Schenkel: Okay, thanks so much, guys.
Operator: And the next question will be coming from the line of Tycho Peterson with J.P. Morgan. Your line is open.
Unidentified Analyst: Hi, good afternoon. This is Julia on for Tycho. Thanks for taking our question. So, wanted to follow up on Visium FFPE, how much of the translational opportunity can you address with FFPE? I mean does that get you access to the majority of translational users or do you still need a broader protein menu maybe or an automated instrument, besides the CytAssist on an instrument to further enhance  ?
Serge Saxonov: And also, Julia, just   major points here, so, look, we have a pretty robust pipeline on Visium FFPE with respect on the product side. We're also seeing great feedback and initial response from our customers. So we do see that this product will -- over the coming -- kind of upcoming future addresses the market really well. We will put on -- there's certainly protein capabilities coming, which will help, and CytAssist will help us well. So, I think that's kind of -- the way we are looking at it over the course of the next year or so there's going to be sort of coming together all these capabilities to really round up a solution for translational customers. But again, as we've seen with Chromium, we see this as a platform with many products in the future, many applications to address all the different kinds of ways that the customers will end up using this platform.
Brad Crutchfield: Yes, Julie, this is Brad. Just to also add, the world has not been able to do true unbiased gene expression across tissues, until just in fact, not really since we have shipped the product yet. And I think this is something that people are really excited for, regardless of quick other products they're using today. So, I think as this becomes clear, I think this is going to be an important growth asset for FFPE.
Unidentified Analyst: Got it. That's helpful. And then also, I was wondering, I'm curious on your thoughts on the clinical side of spatial. Obviously, this market would take time to develop and mature, but I think there's encouraging signs that spatial biomarkers are being developed and starting to be listed in guidelines. So, curious, what's your expectations around the timeline of clinical spatial market development? And is this clinical market something that you can address with Visium HD, or is that really for the In Situ technology?
Serge Saxonov: Well, I mean, the clinical markets, generally speaking, when you look at them, they tend to develop somewhat slower than people expect. Our near-term focus is still on sort of the research and translational applications, because those will form the foundation for clinical applications down the road. And yes, when we think about the clinic, just from first principles about what are the best, like what is the best platform? For the clinic, you are not thinking in terms of In Situ. That is not to say that Chromium and Visium will not have applications that are going to be very powerful and useful. But the In Situ approach lends itself particularly well to the clinical context, by virtue of it being an integrated system, by virtue of it being explicitly targeted, and in a format that the clinicians, the pathologist already used to.
Unidentified Analyst: Got it, very helpful. And last one from me, last quarter you mentioned you're adding 100 employees frontloaded this year with particular focus on the sales force side. So, could you give us a progress update on that?
Serge Saxonov: Yes. So, we've got very ambitious hiring plans this year. We actually plan to add about 400 employees over the course of this year, and the year around 1,300 employees. And so, we did frontload our hiring in our internal plans to have more of the hires in Q1 and Q2. We're running slightly behind that aggressive internal plan, but I'd say, we're pretty much on a straight line pace right now overall.
Unidentified Analyst: Got it, very helpful. Thank you.
Operator: The next question will be coming from the line of Tejas Savant with Morgan Stanley. Your line is open.
Tejas Savant: Hey, guys. Good evening. So, just one quick question for you on the guide here, I know you talked about sort of lab capacity still being a little bit depressed, sort of spotty, rebound across the gios, as Brad mentioned as well. Are you seeing any sort of -- are you baking in perhaps any conservatism into those expectations? Particularly as you launch, Chromium X here, I mean you're seeing the possibility of customers pushing out orders for the current version of the Chromium in light of the X coming online in the back-half. And similarly, I mean obviously the HD launch is still a year or so away, but ahead of that, I mean, any shift in demand that you are detecting at this stage?
Serge Saxonov: So, let me start with the second, the latter parts of your question, and then may be Justin can kind of talk about the guidance. So, in terms of the Chromium demand, we're not seeing any sort of any waiting on the parcel customers for Chromium X, which is coming in the second-half. And our Visium HD maybe marginal, but not really meaningful to extent of the people are waiting, because it's still -- as you said, it's already a year away. So, I would say those are not really having a material impact, those dynamics right now, on the revenue. In terms of the guidance, I'll let Justin comment.
Justin McAnear: In terms of guidance, our new product launches on the schedules that we've previously communicated, have all been contemplated in the range of $480 million to $500 million that we've put out. As far as instrument placements, people waiting on those for the Chromium X. That's not something that we've seen, placements were strong this quarter, and we expect continued demand going forward.
Tejas Savant: Got it, very helpful. And one quick follow-up on the In Situ side, Serge can you share some feedback on the CartaNA early access launch that you had, what are customers saying to-date, particularly around specs or areas for potential improvements? Now I know that this is -- there's not a straight line between CartaNA and the eventual In Situsolution that you'll bring to market, but any sort of like key learnings. And then if you can walk us through what remains to be done in terms of those specs evolving on the -- on the final version of the platform, I think that will be very helpful?
Serge Saxonov: Yes, so in terms of the program, the CartaNA program it is, a couple of things. So first of all, it is fully subscribed. So there's definitely one of the key learnings is just a lot of interest. And there's definitely a lot of interest and interest specifically In Situ solution by virtue of our reputation. And I think those fields in general, the customers are excited by. I think you're the beer is something that resonates as well. We are investing. You mentioned correctly that it's not going to be what the weather we are, the chemistry that we're using right now is not -- is not representative of what the final product is going to be, which is going to be a sort of a combination of our internal developments and an acquisitions that we made and we are definitely investing pretty aggressively. And anytime we're learning from all these collaborators. And like whether we're ready to talk about the actual roadmap, we'll talk about the roadmap or not yet really to so.
Tejas Savant: Got it, got it. And one final one for me, any thoughts on the evolving competitive landscape, I mean, obviously, a lot of folks are looking at spatial looking at In Situ, there's a couple of platforms in early access, et cetera. We'd love to get your thoughts on how you see the competitive positioning evolving for Visium and then eventually for your In Situ platform. And is that something that you're baking into sort of the platform development efforts as well for In Situ?
Serge Saxonov: So in terms of the sort of competitive positioning, like we've talked about, we've got the three platforms, the Chrome, and the Visium, and the upcoming In Situ. We are, we do see them as being fundamental and complementary, especially if you want to sort of draw the difference between the Visium and where In Situ approaches are going to have. Visium is special with the arrival of CartaNA. It's the ultimate discovery platform. And I think it's going to be very, very challenging, maybe ever for In Situ approaches to get to there. And so, we are we have five convection and Visium. And what is going to do for enabling discovery in terms of enabling translational research, potentially some clinical applications as well. We it is, as Brad mentioned, the Visium FFPEs, the only unbiased whole tissue solution on the market. And it is it is giving customers something that is not really possible with any other means. In terms of In Situ, I think there's definitely a lot of interest. There's definitely a lot of companies out there that are working on this area. It is very early for a lot of them, so healthy to comment on any particular specks, or any particular competitor given how sort of the dearth of information of specificity out there. I do want to say that, we're investing aggressively. We do have a pretty by virtue of our scale, and by virtue of our relationships with our customers, we have a pretty good handle on what people want and what people would like and we're -- that's guiding our development. And we have track records of building great products with really innovative features. And that's how we see this one playing out as well.
Tejas Savant: Super helpful. Thank you, guys.
Operator: All right. And then our next question will be coming from the line of Derik De Bruin with Bank of America. Your line is open.
Unidentified Analyst: Hey, Serge, Justin. It's Mike on for Derik. Thanks for taking the question. I want to sort of go back to your comments on pace of reopening sort of the status of labs around the world, where your expectations we're going into the year sort of where they are now. As we look forward over the over the rest of the year, I imagine you'll get that 90% of various levels of capacity up to 95% and 100%. Can you give us an update on sort of your internal thinking of when that'll happen? Is this sort of a 3Q event in your mind now 4Q? I imagine that as vaccines roll out U.S. and Europe, that number is going to creep higher. So just what are you anticipating getting back to normal operating environment?
Justin McAnear: Thanks, Mike, this is Justin. Going back to last quarters call. Our view hasn't changed much from then. And during that call, we talked about Q1 being in that roughly 90% of labs capacity being available at varying degrees of efficiency. We expected that to carry forward from Q1 into Q2. And that is what we seen today. We mentioned that we expected things to start getting better in Q3, and then not really feeling the full impact of that until Q4. And so Q4 is normally a big quarter for us just due to customer seasonality. We expect to be Q4 of this year to be outsize compared to a normal quarter. But overall, our expectations haven't changed from last quarter and things are progressing like we expected.
Unidentified Analyst: Okay, all right. And then, as some of these labs reopen, and again, I realized there's a lot of moving pieces here. But for example, you call it out California started the year slow and sort of ramp back up. As you got into wait into a quarter, is it a gradual reopen? Or is there a burst of orders? And I'm not talking about instrument purchase necessarily, but more about chromium consumables, Visium, I imagine that were labs were shut down, they may have drawn down their inventory a little bit. When they're reopening, are you seeing sort of a bolus of orders as people stock back up to start running at full speed?
Brad Crutchfield: Hey, Mike. This is Brad. I'll take that. It's interesting, because we certainly have seen a level of conservatism with our customers in terms of potentially, as they come back into the lab, there's always the concern that there may be some either systematic or even momentary limitations to access. We've had examples of somebody testing positive in the lab, and then the lab has to shut down for a period of time. And of course, biology doesn't wait for anybody. And then the other thing that we're starting to see -- we've seen in the first quarter is, we thought maybe on the fourth quarter as well as that people are as a commit back in the labs, they're a little bit more conservative maybe only ordering a four reaction kit versus a 16 reaction kit, because there is a shelf life issue. And obviously people don't want to be caught out. So, yes, there are various degrees of that. We can certainly -- look, as we've seen labs come back online, through starting mid last year. And it's usually a fairly typical pattern. A little bit slow initially, as they get the biology up the back where that needs to be. And then obviously, we will see the orders come in. But what we have seen not on the consumable side, but the instruments, we've had great engagement and even prospects for people wanting to onboard and get into single-cell, get their own instrument and in the case of Chromium, but certainly interesting to onboard into the technology.
Unidentified Analyst: Okay and that's helpful. And then one last one for me, obviously Visium FFPE still on very, very early stages, but anything you can comment on in terms of cross sell between Chromium, the Visium, sort of overlap between of customers? Is that that getting a little bit higher. Are you getting a little bit incremental pull, as you go into some of these more translational customers realize it's early, but just wondering sort of how we should be thinking about that?
Brad Crutchfield: So, I would say like in terms of like one, the flow from Chromium to Visium it's obviously there, it's very clear, you can look at publications among those customers. Before the other way, I think is minimal. I'm not sure if we really expect material circle members, so the people, those translational customers they used to work in good tissue, right. That's the thing. So that's, I think Visium is really the platform for that.
Operator: Next question will be coming from the line of Patrick Donnelly with the Citi. Your line is open.
Patrick Donnelly: Great. Thanks, guys. Serge, maybe following-up on Mike's question there on Visium, can you just talk about kind of the repeat customer, reorder rate, whatever you want to call it? On Visium obviously, you guys have a pretty nice initial user base here. How have you seen the customer activity on the reorder rate side?
Serge Saxonov: Yes, that's a good question. And that's something that we've been looking at and paying attention to. It's been robust. It's been quite sales team increasing consistently since launch, so, definitely happy with that. And you can sort of see it in terms of publication rate too, because that's that tends to correlate; those are the people that are reordering and able to get through the experiments. The one sort of guy that I would add is that people who have on boarded are wants to pandemic it has been have had more difficulty getting going, but at once the people the initial goals that are going pre-pandemic as is doing particularly well relative to the ones we've kind of had to join afterwards.
Patrick Donnelly: Understood, okay. And then on the low throughput kits, can you just talk through the initial reception there? Obviously, you guys lowered the bar to get into the market for your customers. Just wondering where you're seeing the most uptake, where you're seeing the interest and how the reception has been there so far?
Serge Saxonov: So the reception has been, it's like robust and great. According to what our expectations and it's been going well, pretty consistently. And I would say, mostly our existing customers, which we sort of saw that dynamic, especially initially, people who are trying to kind of startup new kinds of studies or just sort of experiment to try out new potentials, sample types, economics, expand the use cases for the existing platform. And we do expect that this is the kind of things that accrues to the platform over time, accrues the benefits of platform over time. We're not so much counting on selling that particular kit, but it's what follows that kit is what we're really keen on enabling. And I think that it is seems to be playing out that way.
Patrick Donnelly: Okay, great. And then one for Justin, and maybe Brad, you can chime in as well. Just in terms of 400 employees this year. How many is it 100 that are kind of sales reps customer facing? And then in terms of those ones, how long does it take them to kind of flip productive or whatever you want to call it in terms of their ramps to become productive sales reps. Is it quarter two? Or is it quicker than that? We've lost some color on that front.
Brad Crutchfield: Yes, Patrick, this is Brad. So, we kind of set out I think I've said earlier in the year that we'd hire roughly 100 people in the commercial organization. We're well, in our way on a weeding to doing that. So that's kind of on an overall basis. I don't know, what was the second part of your question? All the way up on sorry, yes. We work at -- since we're hiring 20 people, this is kind of a big issue for us. It's usually about six months, less so on that sort of the technical side, because we're generally hiring our customers. So that's been great with our  , and some of our support people. So they come in, they come up really come up fast, actually. But on the sales side, definitely about six months, we tend to try to find more experienced people that know the territories, and so they at least have that capability. But selling for 10x is not for everybody. And we have to be very selective in who we pick up to put on the team.
Operator: Next question will be coming from the line of Dan Arias with Stifel. Your line is open.
Dan Arias: Good afternoon, guys. Thanks for the question. Serge on the CellPlex kit, it sounds like you've been in the field for a little bit there. I'm curious if you're seeing any dampening effect on consumables as you have labs taking advantage of the lower pricing, but to Brad's point maybe not scaling up fully, just on the size of the experiment. And then maybe looking out a bit, and conversely, if you're starting to get a sense that there's a percentage of the user base that might take advantage of the capabilities there. And are you seeing some signs that you can actually drive platform placements on the back of that?
Serge Saxonov: So, the first question on CellPlex, the demand has been quite robust. So out of the gate, it's quite strong and definitely happy with that. Whether that's having a dampening effect on both, that's an interesting question and certainly something that we are interested in and we're sort of expecting. It's hard to tell explicitly right now, I think we need to kind of wait another quarter to install start correlating those patterns. People who order those CellPlex kits, what do -- how does the users change? So it's conceivable that it's having some dampening effect. But again, the whole rationale of this product is that it greatly expands the ratio single-cell ecosystem and ultimately has a much greater impact by pulling in all these other experiments onto the platform. And so far, we haven't seen anything that would constitute our thesis. In fact, it's only if anything has been sort of reinforced by just the rate of initial orders.
Dan Arias: Yes, okay, all right. And then maybe just on Visium HD, I don't know whether you mentioned this on one of the other calls that you had, but can you just remind us if you have what the economics per 10x will be there? Is there a higher cost per sample that the HD workflow drives or is it more or less in line with what you have now with the 1.0 kits?
Serge Saxonov: So we haven't talked about Visium HD, not the economics, not the pricing. So it's a bit thoroughly for that.
Dan Arias: Thanks.
Operator: Next question will be coming from the line of Matt Sykes with Goldman Sachs. Your line is open.
Unidentified Analyst: Hi, guys. This is Dave  on for Matt. There has been a lot of interest In Situ, clearly huge opportunity for you guys. If you could talk a bit about what fields of study you expect to see the most interest between oncology, neuro immune, developmental in those areas?
Serge Saxonov: Yes. Well, so you hit on the right ones right there. 
Unidentified Analyst: Yes.
Serge Saxonov: Yes, like I think, all of them certainly have a -- there's a lot of interest. There's going to be a sort of -- when we're looking at single-cell  projects, that's a natural -- it's a nice fit for the technology as a compliment to come into Visium kind of as useful validates the markers that get discovered initially and kind of run them on the largest set of tissues. So certainly, and that kind of brings you through developmental biology on those applications, neuroscience, I mean for sure is a big one and certainly in oncology, so it's hard for me to pick between those. I could rank order them, but they would, I'm not sure if I would convincingly be able to say that one is significantly higher than the others. Ultimately, I guess I would say one thing ultimately is just because of such a great fit this tool technology for clinical applications down the road. I would imagine that those will emerge on the side of it like within sort of the general oncology and the oncology space, but it's important to know that In Situ and they're going to be targeted applications, it's going to be sorted and practical to do unbiased discovery, given the amount of data that you would pull on an individual molecule. So a big part of the next year or two is really finding out and understanding these biomarkers so you can curate those panels on In Situ. So then it's kind of a whole connection, it started with some of the early discovery work with Chromium and to Visium ultimately paying off to In Situ in the clinic.
Unidentified Analyst: Great, all right. Thank you. And we've seen that among the explosion in  , an increasing interest in the study of proteomics notably, number of companies have gone public in that space recently. So can you talk about the demand for your protein expression platforms and any correlation there?
Serge Saxonov: Yes, so we do definitely see a lot of protein measurement work going on our products specifically on Chromium. I mean, a very large fraction of the single-cell experiments is actually whether it's measuring expression. Other analyze is actually done with proteins as well using our feature barcoding technology. So it's, it's a pretty substantial part of the application space and then potentially growing part as well, rather than grow lots of interesting people who have not previously been actually measuring protein. So it kind of Genomics cell kind of biology people who are coming into us, so, definitely a good growing opportunity for us, growing up application space. We do think that for our single-cell and spatial type applications using all the good conjugated antibodies for general like those kinds of regions is the way to go, because it gives you -- these are the best kind of way, maybe the only way to really measure these analyze the single-cell resolution. That's a very high plus.
Unidentified Analyst: Great. Thanks. And last one on the gene expression panels, could you talk about which panels have seen the most customer interest between the fixed gene panels and the custom panel designs?
Serge Saxonov: Yes, so that one was a bit of a scattershot, maybe going back to your first question that is kind of neuroscience is definitely up there and the sort of the development biology and oncology. Yes, so I'm not sure if I can say that one is significantly higher than the other, because those are the areas that don't get picked up, generally were single-cell is used.
Operator: Next question will be coming from the line of Matt Larew with William Blair. Your line is open.
Matt Larew: Hey, good afternoon. Thanks for taking my question. Serge, you alluded to the experience event. So, maybe just you or Brad, just comment on what metrics you're using to judge the success of that event, and particularly in light of some of the reduced lab activity and budget issues you mentioned?
Brad Crutchfield: Yes, I'll take that. Yes, this was a great success for U.S. We initially positioned this as somewhat of an alternative than what we would typically do at AGBT. It's really grown into a much bigger event for us and something we'll proceed with. First, it's about numbers. We had over 3000 people consume this on the two days that we put it out, there's obviously people because we made that available to download off or watch off the website. But the other side of it is engagement, and that's the other metric we had. And we that blew away the -- we always question of how many questions would we get? And how do we do this? We had over 200, almost 300 questions come in. And that over those several hours, that level of intensity and the level of engagement with our internal teams, it was incredibly motivating and reaffirming. And then the other specs that we like to look at is net new, people that we would not we had not -- we had not seen before, and we were above those populations, which of those should we have seen. And we had a high percentage over 1000 of those almost a third of those people are new to 10x. So again, overall, I think we've checked all the boxes here, and something we want to evolve. And again, I think the thing that we were particularly impressed with. Again, this is focused on our customers, and it was -- it created a really nice venue for us that we probably couldn't even do in a in-person event. So this is something that it's been great. Like everything else we do at this company will do better next year and the year after that, but we were very happy with the results.
Matt Larew: Okay, and then, the ATAC + Gene Expression product that launched last September you making complete this uptake. Just curious if there's any sort of data points or trends you can give us relative to other product launches that sort of supporting your bullish view on it.
Serge Saxonov: Yes, I mean, it's up there. We don't break out individual products, but it certainly is trending well. And it kind of seems to be -- one of those products that hit the sweet spot of the customer base being ready. And the product having the right feature set to that's the kind of. Again the response has been great and responsible. Just in terms of the feedback we see from customers. The science we see coming out and the numbers we're seeing from orders.
Brad Crutchfield: And the other thing just to add, we were fortunate enough. We were able to launch a precursor to that product with the ATAC-seq. And so this market was well set up, because when we watched the ATAC-seq and first announced that the very first question in the first five seconds is when can I do gene expression and attack in the same cell on the same nuclei? And we delivered that roughly two years after that point, and then people were definitely ready for it.
Matt Larew: Okay. Thank you.
Operator: Next question will be coming from the line of David Westenberg with Guggenheim Securities. Your line is open.
Unidentified Analyst: Good afternoon. This is john on for Dave. Thanks for taking my question. So as we're looking at In Situ, I realized that you're not able to comment too much on the R&D effort. But can you talk about what's necessary? And versus what's nice to have like 2D versus 3D proteins, RNA, DNA test results sequencing on the platform? Thank you.
Serge Saxonov: Yes, I mean a lot of words it was a question of when and not what? I think these platforms, the capabilities that we have internally, and when we build out, we can certainly release all of this sort of old what's necessary over time. We are focused on making sure we get when we get to market with the first product it has sort of the right set of features for what the market needs right now out of the gate. We haven't really talked I mean and we haven't really talked about the specific features forthcoming and that's part of the learning what we're doing collaborating with our customers right now as we're building up this roadmap.
Unidentified Analyst: Okay. And when we're looking at how the Chromium grows, it's new customers, new applications and like larger applications, can you pretty rank? How you think of those three levers are going to be driving by a revenue growth?
Serge Saxonov: So let's say they're all important. Driving new customers is the thing that drives ultimately long run growth, right? So we're focused on that. Although adding every new customer, there's some amount of around before they -- their contribution becomes meaningful. But on the long run basis, obviously, that's the engine that drives the overall business. We're always be -- we're focused on adding applications and capabilities, because our existing customers certainly have more budgets that they can spend, they have to getting kept increasing their budgets by virtue of running our products as well. So I wouldn't classify that any of those three are like more important than relative to others, when we're certainly pressing in all of those imperatives to drive revenue growth.
Unidentified Analyst: Okay. Thank you.
Operator: And no further questions on the line, presenters back to you.
Serge Saxonov: Thanks for everyone for staying on the call. We look forward to chatting with you in the future. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.